Operator: Good morning, ladies and gentlemen. Welcome to the CGI First Quarter Fiscal 2019 Conference Call. I would now like to turn the meeting over to Mr. Lorne Gorber, Executive Vice President, Investor and Public Relations. Please go ahead, Mr. Gorber.
Lorne Gorber : Thank you, Elena, and good morning. With me to discuss CGI’s First Quarter of Fiscal 2019 are George Schindler, our President and CEO; and François Boulanger, Executive Vice President and CFO. This call is being broadcast on cgi.com and recorded live at 9:00 AM, Eastern Time on Wednesday, January 30, 2019. Supplemental slides as well as the press release we issued earlier this morning are available for download along with our Q1 MD&A, financial statements and accompanying notes, all of which have been filed with both SEDAR and EDGAR and are available for download on our website. Please note that some statements made on the call may be forward-looking. Actual events or results may differ materially from those expressed or implied and CGI disclaims any intent or obligation to update or revise any forward-looking statements whether as a result of new information, future events or otherwise, except as required by applicable laws. The complete Safe Harbor statement is available on both our MD&A and press release, as well as on cgi.com. We encourage our investors to read it in its entirety and to refer to the Risks and Uncertainties section of our MD&A for a description of the risks that could affect the Company. We are reporting our financial results in accordance with the International Financial Reporting Standards, or IFRS. As before we will also discuss non-GAAP performance measures which should be viewed as supplemental. The MD&A contains definitions of each one used in our reporting. All of the dollar figures expressed on the call are in Canadian dollars, unless otherwise noted. We are hosting our AGM this morning. So we hope you will join us live for that broadcast at 11:00 AM Eastern Time. I'll turn it over to François now to review our Q1 financials, and then George will comment on operational and strategic highlights and outlook. François?
François Boulanger : Thank you, Lorne, and good morning everyone. I am pleased to share our results for Q1 fiscal 2019 results. Revenue was $2.96 billion, an increase of $147 million or 5.2% compared with last year. On a constant currency basis, revenue grew 4.5%. Bookings were over $3 billion or 102% of revenue 43% of the contract awards were related to new business while six of our top-ten bookings in the quarter were new multi-year recurring revenue streams. Over the last twelve months, total bookings were $13.5 billion or 116% of revenue. As of December 31st, the backlog increased to $23.3 billion, up $2.2 billion compared with last year. Adjusted EBIT was $439 million, up 8.1% from last year. EBIT margin was 14.8%, an improvement of 40 basis points. Our effective tax rate for the quarter was 25.9% stable with last year when excluding a one-time tax benefit in Q1 of 2018 related to U.S. Tax Reform. For the remainder of fiscal 2019, we expect a range of 24.5% to 26.5%. Net earnings improved to $311 million in Q1 and EPS grew 13.3% to $1.11 per diluted share. Net margin on the same basis was 7.5%, up 40 basis points. When excluding expenses related to the acquisition and integration of ckc in Germany and earnings improved to $315 million or 10.6% of revenue, also up 40 basis points. Earnings per share were $1.12, an improvement of 13.1% compared with the $0.99 in Q1 last year. In the quarter, our operations generated $392 million in cash or 13.2% of revenue. Over the last twelve months, we have generated $1.5 billion or $5.15 in cash per share compared to $4.26 for the same period last year. We ended the quarter with a DSO of 54 days, up from 52 days last quarter and 47 days last year. This increase in DSO is mainly due to fluctuations in currency at the end of the quarter that had a three day impact. During the quarter, we disbursed $17 million against last year’s restructuring program. As previously communicated, we expect the majority of the remaining payments to be made in Q2. In the first quarter, we allocated cash across several strategic priorities, invested $80 million back into our business including in the development of our IP and wrapping up of new outsourcing contracts. We acquired ckc for $23 million. We repurchased 4.2 million shares for $348 million and we repaid $383 million of long-term debt. Combined with improved profitability, these accretive investments drove our return on invested capital to 14.5% or 80 basis points higher than last year. Buying back CGI’s stock remains an accretive and flexible way to return value to shareholders. As such, this morning, our Board of Directors approved the expansion of our share buyback program until February 2020. This will give us the flexibility to purchase 20.1 million shares over the next twelve months. Under the current program, we have invested $1.2 billion repurchasing 15.9 million shares or 77% of the program’s limit at a weighted average price of $78.77. This represents a return of 10%. We also took the opportunity during the quarter to negotiate a new five year $500 million U.S. term loan. The fixed interest rate of this debt is less than 1.2% following the completion of a cross-currency swap into euro. At the end of December, net debt stood at $1.7 billion representing a net debt-to-capitalization ratio of 19% stable compared to last year. With our revolving credit facility and over $400 million in cash, we have $1.9 billion in readily available liquidity and access to more as needed in order to pursue our Build and Buy strategy. Before turning the call over to George, I would like to highlight a few adjustments we made to strengthen our operation and as a result change our reporting segments. The former France segment has been renamed Western and Southern Europe as it now includes, Belgium, Spain, Portugal, and the Brazil Global Delivery Center. As a result of this realignment, the former Eastern, Central and Southern Europe segment has been renamed Central and Eastern Europe and comprises Germany, Netherlands, Czech Republic and Slovakia. Finally, we transferred ownership of some IP solutions and client relationships between segments. Results and the year-over-year comparables have been updated in the MD&A to reflect these adjustments. Historical results for the last four quarters are also available on CGI.com. Now I will turn the call over to George.
George Schindler: Thank you, François and good morning, everyone. Throughout the first quarter, clients remained focused on enterprise-wide digital aspiration. What were generally less defined enterprise strategies year ago continue to become more actionable as organizations focus on practical implementation of digital including analytics, cyber, and systems modernization. Looking forward, some clients, particularly in manufacturing and retail sectors have started to adjust their priorities given the anticipation of a potentially slower growth environment. These clients are focusing their IT initiatives to accelerate efficiencies and gain cost savings. These savings will allow them to fund future IT investments. We continue to hear from business and IT executives that investing in technology is a top priority as IT has now become core to their value proposition. CGI’s strong results continue to demonstrate our position as one of the few firms with the global scale, end-to-end services, and proven ability to deliver on client demand for operating efficiencies, and new technology investments. In the quarter, constant currency revenue growth was 4.5% with continued organic growth acceleration of over 3%, up from 2% last quarter. In fact, six of our seven client-facing operating segments grew in local currency. The only exception was in Northern Europe where the comparables from a year ago included low margin revenue from Affecto that was subsequently exited as planned throughout the year. EBIT margins were up 40 basis points as seven of eight segments reported double-digit margins with the only exception in Central and Eastern Europe where margins are on an upward trend improving 120 basis points year-over-year. And net earnings margin increased 40 basis points to 10.6% while EPS expanded by 13% to $1.12. Turning to the year-over-year regional highlights of our first quarter, I’ll start in North America. In the U.S. Commercial and State Government segment, revenue growth was 3.4% in constant currency led by broad based commercial growth, particularly in financial services and health and life sciences. EBIT margin was 15.6%, up 60 basis points and bookings were 111% of revenue led by the strength in digital demand. During Q1, we built on client relationships from recent mergers through our end-to-end value proposition. For example, our team in Nashville built on a strong SI&C relationship to secure a long-term managed services agreement valued at over $60 million. And following the expansion of our footprint in Pittsburgh, we opened a new innovation center to further support this metro market which has grown organically more than 15% from a year ago. In our U.S. Federal operations, revenue grew 3%, EBIT margin was 13.7%, up 20 basis points and bookings were 53% of revenue impacted toward the end of the quarter by the U.S. government shutdown. We remain confident in the strength of our federal business with bookings of 157% of revenue over the last twelve months. Despite the initial eight days of the 35 day U.S. government shutdown been in Q1, there was no impact on our results beyond bookings as it fell at the end of December during the traditional holiday period. The impact of the remaining 27 days in our Q2 was largely mitigated due to the sizable volume of work we do as that these are fee-based, or considered essential and therefore unaffected even in the closed agencies. We proactively reduced the impact to margin and revenue by restacking some employees on work in other sectors across our broader U.S. base business. A strategy we would implement again should we be faced with a similar situation later in the quarter. Now that the government has reopened, we are focusing on accelerating any affected projects to further minimize impact in Q2. In Canada, our team delivered revenue growth of over 6% driven by demand in financial services across the country and oil and gas in Western Canada. EBIT margin was again over 20% and book-to-bill was 87%. With a backlog equal to four years of revenue and Canada’s Q1 bookings consisting of over 50% new business, we are well-positioned for continued organic growth. For example, we are seeing new business activity in the transportation sector to optimize the digital customer experience. As such, new Q1 bookings in this industry totaled $75 million. Turning to our European operations, in Northern Europe, revenue was stable even as we executed our plan to run-off non-core low-margin work coming from the Affecto merger. Without this impact, Northern Europe would have shown positive growth. Demand in this segment remains healthy and broad based across several industries with particular strength in financial services modernization as well as in the transportation industry. EBIT margin expanded 130 basis points to 10.7% as a result of the planned run-offs, and the realization of benefits associated with last year’s restructuring programs. Bookings were strong at 138% of revenue providing a positive growth outlook for the remainder of fiscal 2019. Our optimism for future growth in this region was further solidified last week as I met with top executives across the Nordics and addressed some 1200 clients at our Annual Solutions Seminar in Helsinki. In Western and Southern Europe, revenue grew 5% driven primarily by the strength in our French operations, particularly in the manufacturing, transportation and government sectors. EBIT margin was stable at 14% despite the timing of R&D tax credits in France when compared with last year and bookings came in just under 100%. Going forward, we expect to reinvigorate the growth prospects of our operations in Spain and Portugal as they benefit from the commonality of clients and industry expertise with their French operations. We see this opportunity particularly in the utilities, transportation and defense industries. In the UK, revenue grew to 6% fueled by the growth in local government engagement such as with the City of Glasgow and newer outsourcing engagements with commercial clients including with TalkTalk Telecom Group. EBIT margin was 15.8% and book-to-bill came in at 85% of revenue impacted by a slowdown in government procurement decisions due to the ongoing uncertainty related to Brexit. Given the strength of our local relationships, and positioning on 17 government frameworks or contract vehicles, we remain confident in our ability to continue supporting our UK government and commercial clients irrespective of the Brexit outcome. In Central and Eastern Europe, revenue growth was 14.5%, the majority of which was organic as both Germany and The Netherlands posted significant year-over-year improvement. EBIT margin continue to accelerate with the 120 basis point expansion to 8.8% and bookings came in at 153% of revenue on the strength of CGI being selected as a preferred global partner by clients who are consolidating their IT services providers. We expect profitability to increase in this segment given the improved workforce positioning following last year’s restructuring. In addition, demand continues to be strong and we expect this new higher-end business mix to further improve future performance. And in Asia-Pacific, when excluding a one-time favorable impact in Australia last year, our teams posted revenue growth. EBIT margin was strong at 25% driven in part by increased utilization and growing use of automation. In summary, we are off to a great start for the year. Looking ahead, we are optimistic for the remainder of 2019 with a strong balance sheet and several other tailwinds in our favor. The fragmentation of the IT market remains high and we expect merger opportunities will increase in an environment of macroeconomic pressures. For proven consolidators like CGI, this provides both niche and transformational buy opportunities at potentially more reasonable valuations. The benefits of last year’s restructuring programs are being realized as planned, delivering margin improvement as a result of investments we made in adding high-demand expertise and executing in asset-light infrastructure strategy. And client demand for end-to-end innovative solutions in our proximity-based metro markets is accelerating as we continue to drive both growth and cost savings for our clients. We remain focused on executing our strategic aspiration of doubling over the next five to seven years through continued Build and Buy. Thank you for your interest and support. Let’s go to questions now, Lorne.
Lorne Gorber: Just a reminder that a replay of the call will be available either via our website or by dialing 1-800-408-3053 and using the passcode 6149639 and that will be available until March 2. As well, a podcast of this call will be available for download within a few hours, and as usual follow-up questions could be directed to me at 514-841-3355 and a last reminder our AGM today at 11:00. Hope all of you can join us on cgi.com if not in person. Elena, we will now pool for questions.
Operator: Thank you Mr. Gorber. [Operator Instructions] The first question is from Thanos Moschopoulos with BMO Capital Markets. Please go ahead.
Thanos Moschopoulos : Hi, good morning. George, can you stand on your commentary regarding the broader spending climates? You mentioned that the clients are looking to accelerate efficiencies in response to some incremental macro uncertainty. How is that manifesting itself in terms of spending priorities in sales cycles? Does that mean more digital? Does that mean more outsourcing? What are you saying?
George Schindler: Yes, so, thanks for the question, Thanos. The spending environment on the digital, we don’t really see slowing down at all. In fact, the demand from customers and citizens like is relentless on the desire to interact with businesses from a digital platform. What we see is, the added view from our clients saying if we are going to prepare for maybe a slower growth environment, let’s make sure that we are running our own businesses as efficiency – operational efficient as possible and we are seeing a shift to some thinking about that type of spending pattern. That should over time, result in higher outsourcing opportunities. That’s a look ahead. We don’t see that yet. In fact, our SI&C business was stable in the quarter, but if you look at our bookings, actually higher bookings and systems integration and consulting. That’s good news for us in the future.
Thanos Moschopoulos : Okay. And so sales cycles are being impacted at this point?
George Schindler: Not right now.
Thanos Moschopoulos : No. Okay. And in terms of the margins, obviously some good margin expansion, 40 basis points year-over-year. As we look at that year-over-year improvements what would you say was the single biggest driver? Was it mix? Was it utilization or was it the restructuring efforts you took last year?
George Schindler: It was really the combination of the restructuring and higher utilization which declined quarter-over-quarter really since we initiated the restructuring program. So that’s really the majority of it. Remember, that restructuring also was to call down some of infrastructure work which was lower margin. So that’s having a tailwind on the margins as well. Looking forward though, there is still an opportunity for us to get closer to the ideal business mix that we have both the SI&C outsourcing and IP was stable this quarter in revenue but has been increasing SI&C and reduced in outsourcing. So, as we go into more of that operational efficiency, spending patterns, we should see more of those higher-end SI&C relationships converting into outsourcing which will help be it also a tailwind to our margins looking forward.
Thanos Moschopoulos : Great. Thanks. That’s excellent.
Operator: Thank you. The next question is from Steven Lee with Raymond James. Please go ahead.
Steven Lee: Thank you. Couple of questions for me. George, when the Group was planning for 2019 on Brexit, what was considered the worst case scenario? And how could it impact UK?
George Schindler: Yes, it’s a good question. We have three different scenarios. As you might imagine on Brexit and we plan for all of them both the – or the hard exit whether it’s actually an opportunity for us to deploy more resources to assist the government if that were to occur. The negotiated softer exit in which case, we could use our framework agreements to increase work with the government and then the delay which is really the outcome that could occur here as we get closer to the March 29, date, and that’s the environment that we are in now. And again, where we see that is getting closer to our customers on the government side on the incumbency and so things are going well there. Commercial right now is little less impacted. Certainly, some things have moved to other parts of Europe. We have a proximity model and so we can catch that in proximity and then stay focused on helping our clients in the UK. So, I think they all have their different opportunities and challenges, but we are planning for all the above.
Steven Lee: Okay. That’s helpful. And, George, for Northern Europe, you had talked about run-off stuff. Are they more coming or should we expect the revenue growth to start improving for the rest of the year?
George Schindler: Yes, run-offs are a pass to us. So it’s really that and that was really comparable. That was done in the first quarter. It was just a hit us on a comparable for Affecto. So that’s passed us.
Steven Lee: Okay, great. And a quick on for François. Cash from operations, did it include any restructuring disbursements? Thank you
François Boulanger: Yes. We had for $17 million of disbursements and again, mostly will be finished – payments will be finished in the next quarter or this quarter at the end of March.
Steven Lee: Thank you.
François Boulanger: Thanks, Steve.
Operator: Thank you. The next question is from Richard Tse with National Bank Financial. Please go ahead.
Richard Tse : Yes. Thank you. George, I wonder if you could provide some color on the sort of the organic growth. Is that coming from the existing base or through the niche acquisitions that you guys have done over the past few years that are consuming more of CGI’s broader portfolio?
George Schindler: Yes, that’s a great question, Richard. It’s actually coming from both. So, the demand in digital and our focus on – re-focus on metro markets which we done in conjunction with the buy. What we’ve done this everywhere is generating some increases in our SI&C work with new clients within proximities that we haven’t done or metro markets where we haven’t done acquisitions. But where we have done metro market mergers it’s actually accelerated. And I highlighted what’s going on in Pittsburgh and in the Southeast of the U.S., but that we also see it going on in Denver, we see it going on in Northeast U.S., we see it going on in Northern Germany, we see it going on in Finland. So we see it everywhere we have done a metro market merger is actually accelerating. So it’s a little of both.
Richard Tse : Okay. That’s helpful. So, does that to mean that you might sort of spent a bit more time focusing on some of these niche acquisitions or it seems like you are getting kind of returns from the more revenue synergies?
George Schindler: Yes, we would like to accelerate that. Having said that, we will continue to be disciplined and because culturally, when it fits, you get the acceleration if it doesn’t, it looks nice on paper but it’s not going to drive the synergies that everybody is looking for. So, we are still going to be disciplined about that. But we would like to see that accelerate and that’s why I mentioned, we think we are moving into a climate where that would be driven to accelerate more in the future.
Richard Tse : Okay. And I heard your comments on SI&C being a strong part of the business. I have noticed that over the past year. Has there been any situations yet or you’ve seen some of these SI&C engagements to move to over long – larger SI&C engagements?
George Schindler: Yes, I highlighted one that we did there in Nashville this quarter. But we are seeing some of those happen over time. It takes some time, but we do see and we are having those types of conversations right now.
Richard Tse : Okay. And just one last one for me. The headcount at the end of last fiscal year, what was it in – what is your targets here going into 2019? Thank you.
George Schindler: Yes. Good question. We don’t look at specifically headcount, because we are continuously introducing agile methodologies. We are introducing advanced automation, particularly in our delivery centers. So, some of our delivery centers actually, and you see this quarter in our operations in Asia-Pacific, which is dominated by our India operations. You see that uptick on margin that’s occurring through additional efficiencies driven by automation that we are using to deliver for our clients, less people, but higher margins. And the infrastructure, same thing going on in automation. So, it’s tough just to look at the headcount, yes, for SI&C, that’s driven by headcount. But other parts of the business, actually we don’t have as much. We have a pretty aggressive hiring target for the year and we are on track for that through the first quarter.
Richard Tse : That’s great. Thanks guys.
Lorne Gorber : Thank you, Richard.
Operator: Thank you. The next question is from Paul Treiber with RBC Capital Markets. Please go ahead.
Paul Treiber : Thanks so much. Just following up on Richard’s question around headcount and then you mentioned your hiring targets. Just in regards to the Washington DC area, just specifically and whether the shutdown and also whether the Amazon announcing plans are coming, how are you seeing the labor market there, in particular your retention on churn?
George Schindler: Yes. Well, that’s an interesting question. I was just talking to our federal team and they did a really nice job in managing the shutdown. Unfortunately, they are practiced at it. But they did a very good job working on that. We didn’t lose any of our members that, but we are in the closed agency over this time period very little that we lose that’s a good sign. But there is definitely some pressures just in general of given the shutdown, given kind of that landscape with so temporary deal that we are prepared that maybe some individuals would exit this type of work for other works because the demand is high as you mentioned in the Washington DC area. Having said that, we have an advantage in our CGI’s federal operations and that we have the rest of the U.S. to deal with including intellectual property and we actually did moved some people that would have been in a more tenuous situation without an agency to or a project to work on. We actually moved some of those people to our broader U.S. business. I think that’s a differentiator for us in that marketplace where we are competing in the federal space with our pure play federal that are far more exposed when events like the shutdown happens. So, we are planning for it, but we are in a good position.
Paul Treiber : And then, in terms of, like the U.S. Federal business going forward, you mentioned that the shutdown is that or the completion of the shutdown is temporary. Could you just elaborate on the strategy and I guess, the nimbleness to move and to mitigate that impact if there is another shutdown in the remainder of the quarter?
George Schindler: Yes, I think, as I mentioned we will do the exact same thing that we did here. A lot of our work, so, 90% to 95% of our business right from the start is unaffected both because and I’ll remind you two-thirds of the government is fully funded not two-thirds of the agencies, but two-thirds of the government is of the dollars are fully funded. And then, we do a lot of work, for example, our work in the passport area, in the Visa area, that’s funded through the fees that applicants pay in that space. So, that’s fully funded. So, that’s what I mean by fee-based work and there is other work we have like that. And then we have mission-essential work like a lot of our financial processing and agency that’s partially opened or even that’s closed and these reopened still needs to have a financial system operating to close our books for a month or to open them for the following month. So, a lot of our work is being essential. So it’s already minimized by that. We did, as I mentioned, moved people very rapidly across, both within our federal government business, because it’s partially opened and then outside of the federal business. So, we are pretty nimble and the impact for example of these 28 days is very, very minimal even at the federal level and of course, really not material at the company level.
Paul Treiber : And just one last one for me. Just shifting gears to the U.S. Commercial side, the profitability there is down from Q4, was there anything in terms like IP or unusual that drove the quarterly change in profitability?
George Schindler: It’s really a lot of smaller things on the U.S. Commercial side. The IP is lumpy as we know and also we are seeing a shift more pronounced this quarter than as even reported our previous quarters as we move from a license basis to a software-as-a-service is up 6% this quarter. I think in the long-term that’s good news, because higher profitability in the longer-term, but it causes a bit of lumpiness there. So I think that’s all your seeing.
Paul Treiber : Okay. Thank you. Excellent.
François Boulanger: Thanks, Paul.
Operator: Thank you. The next question is from Maher Yaghi with Desjardins. Please go ahead.
Maher Yaghi : Yes. Thank you for taking my question. I wanted to just go back maybe on your expectations for organic revenue growth. We’ve seen a nice increase over the last quarters. Recent quarters we went from 2 to 3, 3.5 in the quarter here. What’s your expectations going forward? Because, I compare your improvement in organic growth with some of your peers which are seeing some decline in organic growth. So I am trying to see how much visibility you have going forward on organic growth? And my second question would be, when I look at your exposure or your revenue distribution, bookings revenues in Europe, it’s running at 55, so what’s your propensity to look for acquisitions in Europe. That’s where probably we’ve seen the more decline in valuations recently. Are you willing to increase your exposure to Europe and to what extent are you willing to do that through acquisitions?
George Schindler: For sure. Thanks, Maher for the questions. On the outlook for revenue growth, I’ll give you the metrics we use to see whether that’s going to continue. We are looking at our pipeline. We are looking at our trailing twelve month book-to-bill and you see the backlog had a nice increase on the strength of that book-to-bill. So, we see opportunities to continue accelerating our growth and really and it’s broad based growth in every metro market around the globe and its underlying demand is really for our customers to go digital and have a digital customer experience for their customers. And then, also, the cost savings as I mentioned. So, we believe by playing on both sides of that equation, we should see revenue continuing to accelerate throughout the year as we have planned. On the revenue distribution, yes, you are right. We are a little or half now in Europe. But it’s obviously a big market. We think of this as everyone of our strategic business units has an opportunity to continue to buy and merge with like-minded companies and including on the transformational side and we will look at both sides of the ocean to do that for sure.
Maher Yaghi : How do you see valuations getting more interesting lately, because you mentioned that on your opening remarks?
George Schindler: Yes, I said, I believe the climate will be a situation where we should see that potentially in the future. Right now, I don’t see it yet. But, so we will continue to be disciplined. But over time, that’s where we would see it heading. On the larger – some of the larger commercial players you do see that particularly in Europe, those that are publicly traded, but we have to see it yet on the – some of the prior valuations.
Maher Yaghi : Okay, thank you.
Lorne Gorber : Thanks, Maher.
Operator: Thank you. The next question is from Edward Caso with Wells Fargo. Please go ahead.
Edward Caso: Hi, good morning. I was curious you talked about, I guess, I was little unclear whether you said the legacy support business was improving or you were expecting it to improve and then maybe you could talk a little bit about price pressure in the sort of non-digital part, non-digital non-IP part of your business?
George Schindler: Yes, thanks, Ed. On it what I did mentioned is that, on the operational side, which you could mention is the traditional legacy side of keeping operations running for an organization that we do see a better climate for that, because through introduction of increased automation and just general management efficiencies, we can still drive some cost savings out of that. And one of the reasons for that is, it’s hard to separate new from legacy, because as you introduce your new digital operation, yes, some of that’s discrete from the front-end perspective that’s got to connect in with that legacy and this is what I mentioned on the practical applications of digital, we see more clients going in that direction holistically changing their entire enterprise which changes then the dynamics of the legacy. In doing that, we don’t necessarily see price pressure. We see opportunities to actually give cost savings for our clients and drop higher margins to CGI. That’s what we see right now. It’s not there yet. But I am just predicting that’s where we see it heading in the longer haul. Also, on the traditional infrastructure side, this is why I want to announce that right, we do see price pressures in that piece of the landscape.
Edward Caso: My other question, maybe you said it and I missed it, but your IP what was it as a percent of the revenue in the quarter? What is it as a percent of the backlog in your pipeline please?
George Schindler: Yes, it’s stable, as far as the business mix. So it’s still 21%. We reset that from 23% to 21% given the lot of the mergers that we did that were pure SI&Cs. So it’s just numerator and denominator. But it’s been continued to be stable. The dollars continue to grow, but they grow in line with the growth of our overall business. I don’t have a pipeline number for you right now, but we could probably get that for you.
Edward Caso: Great. Thank you.
Lorne Gorber : Thanks, Ed.
Operator: Thank you. The next question is from Robert Young with Canaccord Genuity. Please go ahead.
Robert Young : Hi, just maybe summarize some of the comments you’ve made around the environment for acquisitions, the valuation environment. Maybe, if you could just talk about what are the drivers that you see there supporting the expectation or the potential that valuations could improve for you and I guess, is that more of an impact on the metro market targets? Or is it’s something more relevant to larger consolidation targets?
George Schindler: Yes, it’s a good question. I see two things what we see in the overall marketplace is two – maybe two areas of the valuation. I think as our clients look more to go enterprise digital and IT becomes more and more core to their operations, they are looking for fewer partners. When they look at fewer partners, there is a consolidation in the marketplace. When there is a consolidation in the marketplace that goes broad based and we maybe see a slower growth environment, so some of their spending becomes more focused, some of the smaller players get little more exposed and little more motivated to move. We’ve already seen the first part, but the second part we see happening may be a little bit faster. That’s on the metro market niche opportunities. On the larger opportunities, the market is changing quickly and I think as various competitors make different choices in where they do or don’t want to play, I think that could change some valuations as well for their businesses, which I think gives us an opportunity on the consolidation side.
Robert Young : Okay, great. That’s great color. And then, something also you said earlier in the call about longer term outsourcing opportunities potentially being connected to spending patterns moving to more towards IT efficiency. Am I making that link correctly that the same – do you see that or do you see larger, longer term digital-related outsourcing or longer term contracts as well?
George Schindler: It’s a good question. The two are a bit related. So, we do see the longer-term digital type opportunities that are also going to drive some of the efficiencies which allows increased investment to keep those digital opportunity or digital systems fresh. And so, the kind of – we are seeing a bit of a convergence in the discussions there, just like we see a convergence between IT and business organization. So, we see that coming together.
Robert Young : But the opportunity for longer term outsourcing opportunities around IT efficiency, I mean, that’s still a strong business for you, I assume, but it could potentially get stronger if the macro conditions get worse or is it’s something general you see?
George Schindler: I completely believe that, the way you characterized it is correct. But we don’t see that in our bookings just now. We do see it in the conversations that we are having with clients as they think about their next year or years’ budget.
Robert Young : And just, like to dig in a little bit, I guess, investors could assume that large enterprises taking IT and technology as more of a driver of their strategy and so may want to have more control of that which may suggest less focus on outsourcing those components to companies like CGI. And so, how would you respond to that?
George Schindler: Yes, I don’t necessarily see it, I wouldn’t characterize it that way. I think the two – the three things really come together. I think clients are very interested in engaging with fewer partners that can be a true extension. We see that through digital extending their ecosystem. We are part of that ecosystem now. But also connecting the digital with the legacy driving both operational efficiencies and an opportunity to retain and capture new customers. So, it’s really all of the above and we see that coming together which is why there is fewer players that can play in all aspects of that.
Robert Young : Okay, that’s great. Just two little ones for me. The very high SI&C bookings, is there a seasonality factor? I look Q1 last year there was a bit of a bump there as well as there is something to understand seasonality-wise?
George Schindler: No, I don’t think it’s really seasonality. It’s really probably us just having the opportunity to meet some of the demand. So, but I don’t think it’s seasonal.
Robert Young : Great. And I don’t know if you have mentioned it and I missed it, but did you call out potential for double-digit EPS growth looking forward through this year?
George Schindler: We are absolutely focused on continuing to have EPS growth moving forward.
Robert Young : Great. Thanks for answering all my questions.
George Schindler: Yes.
François Boulanger: Thanks, Rob.
Operator: Thank you. The next question is from James Schneider with Goldman Sachs. Please go ahead.
James Schneider: Good morning. Thanks for taking my question. Maybe just wanted to follow-up on some of your earlier questions around outsourcing. Clearly, it seems like, as you mentioned there is many companies focused on fewer partners especially in the outsourcing, at the same time some of the larger IT services firms seem to be de-emphasizing their outsourcing operations. Is that’s something you are seeing in terms of the competitive bids for large-scale outsourcing and would you expect you would benefit from that in the overall market? And maybe just talk about overall pricing dynamics in large outsourcing deals please?
George Schindler: Yes. Thanks for the question, James. Yes, we do see the outsourcing, well, some of our competitors changing their focus on where they want to play just like we changed our focus on the asset light and not going to big infrastructure. We are leveraging the cloud and our opportunities there as opposed to creating necessarily our own. But, the dynamic of those outsourcing deals have changed, but as I mentioned, you still have to run your legacy operations and as you introduce your new digital, it was a different way of introducing digital, but you still have to run your operation from an enterprise perspective. And so we believe there is still an opportunity. We are just in the next wave of evolution in IT and there will be another wave behind this. And so, that’s why we want to play in that end-to-end spectrum and I do think that perhaps helps us and we do see fewer competitors in some of those deals although a lot are the same competitors over the last few – several quarters.
James Schneider: Thank you. And then, maybe, as a follow-up, with respect to margins for the year, you put up a solid 40 basis point expansion this quarter, a lot of those you mentioned was due to restructuring and utilization. Do those restructuring benefits paid over the course of the year and maybe can you talk about what level of upside there is potentially on the utilization front? I am just trying to understand what we should kind be modeling the same kind of margin expansion throughout the year as we saw this quarter?
George Schindler: Yes, so, it’s the right question asked. There is a tailwind a bit as we run through the year, because of the comparisons. So you will get some of that tailwind on a year-over-year comparison. We do see continued sequential opportunities both in higher utilization and higher gross margins as we implement our metro market strategy. So we see that and then the bigger opportunity over time is through improved business mix within our outsourcing, systems integration and consulting and intellectual property. I mentioned outsourcing intellectual property were stable. But they have picked up over the last several quarters. And so as we bring that back in line, in capturing some of the opportunities that I discussed in outsourcing, that is a higher margin business for us because it drives higher utilization and lower cost of sales. So, that’s a tailwind in the future. So, some from a comparison year-over-year. Some from just small incremental increases in our utilization and gross margin on a sequential basis, longer term growth on the business mix.
James Schneider: Thanks and maybe if I could sneak in one last one from an accounting perspective. I think the DSOs this quarter are kind of extended to 54 days and I think that’s quite a bit well beyond you are the mid 40s where you are running most of last year. Maybe talk about what’s driving that? And whether you expect that to normalize?
François Boulanger: Yes, as I indicated the script, three days only is explained by FX and again, if I would have – meaning that if would have calculated in local currency, we would have been actually at 51 days instead of 54. So it’s really because of the swing of the FX at the end of the quarter. Still at 51, an increase versus last year and again it reflects the fact that for more than a year now the SI&C percentage is higher than the outsourcing and again coming from the acquisition that we did in the last year-and-a-half that bumped beyond the SI&C revenue higher than the outsourcing and as you know with the SI&C with now the work, the milestone and paying after the work is done naturally is putting pressure on the DSO. But what George was saying with outsourcing that we are seeing coming back, that will have a positive impact also on the DSO.
James Schneider: Thank you.
François Boulanger: Thanks, Jim. Elena, I think we will take one last question.
Operator: Certainly. Thank you. The last question will be from Howard Leung with Veritas. Please go ahead.
Howard Leung : Good morning and thanks for sneaking in there. I want to ask a question about the cash levels. They’ve gone back up almost to kind of 2016 levels. Thanks to the low rate of debt that you took out and after 2016 you made a number of acquisitions and we are investing in IP. Where do you see deploying cash, focusing your deployment of cash this time? Is it more in acquisitions, the buybacks or maybe reducing the higher rate of debt?
François Boulanger: For sure, after investing back in the business that is always our first priority. For sure we still want to be very active on the acquisition and we are still saying what George was indicating that the market, as where we have good opportunity on it, but we will be disciplined for sure and we will take them one that are making sense. And depending on the timing of it, we will go back in the market and doing some share buyback. As you saw this morning also we had a second press release to say that, the Board of Directors did renew the NCIB for next year and so, we will be opportunistic on the market on that side also. And as for the debt, the market was pretty good. We have some payments done this year close to $200 million U.S. We have some another $100 million and more U.S. to pay next year on the long-term debt and we saw that the market was very good as you saw the 1.2% of interest rate was very good and so we just started to renew $500 million U.S. on this.
Howard Leung : Okay, great. That makes sense. And then, talking about the buybacks, as the valuation sort of share has ran up a bit, at what point it would doesn’t make sense for you to look and see that maybe it’s more attractive just to look after internally or in acquisitions or is this buyback especially in I guess, maybe some of your peers are trading at lower levels?
François Boulanger: Well, I guess, you are totally right. The first two priorities are again to go on share buyback and on acquisition and for sure, we are looking at the valuation and you are right, some evaluation went down a little bit, but we are still very close to it and looking at the…
George Schindler: And that’s why we like the buybacks is a flexible way to return cash to the shareholders, but we can redeploy to the larger acquisition one we need to and rebalance those two as François said in priority order.
Howard Leung : Yes, okay, great. And just one last one from me. Some of the callers moved to this, but some of your larger peers have been struggling. They got negative sales growth and they’ve been beat up a bit. How do you think CGI as the differentiator from them? And are you actually finding you are taking market share from them given your healthy bookings?
George Schindler: Yes, well, I think the biggest differentiation we have is our relationship with our clients and the fact that we do that in proximity to our clients. And so, it really gives us a nice opportunity to stay close to them to meet their needs and challenges and opportunities and we do that in every place that we operate around the world. And I think that’s a – as a big differentiator for us. I think the other big differentiator for us is our people that are able to develop those relationships and the fact that 85% of them are owners. They really are focused on taking care of our company just like a shareholder/owner would do.
Howard Leung : All right. Thanks guys.
Lorne Gorber : Okay, thank you, Howard and thank you everyone for joining us today. Again follow-ups directed to me at 514-841-3355 and hope to see you are here following our AGM.
Operator: Thank you, Mr. Gorber. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.